Operator: Good morning, and welcome to TETRA Technologies Fourth Quarter 2024 Results Conference Call. All participants are in listen-only mode. If you require operator assistance, please press star zero. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star one on your touch-tone phone. To withdraw your question, please press star two. Please note that this event is being recorded and I would now like to turn the conference over to Julian Higuera. Please go ahead, sir.
Julian Higuera: Good morning, and thank you for joining TETRA's fourth quarter and full year 2024 results call. For today's call are Brady Murphy, Chief Executive Officer, and Elijio Serrano, Chief Financial Officer. I would like to remind you that this conference call may contain statements that are or may be deemed to be forward-looking, including projections, financial guidance, profitability, and estimated earnings. These statements are based on certain assumptions and analysis made by TETRA and are based on several factors. These statements are subject to several risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance and that actual results may differ materially from those projected in the forward-looking statement. In addition, in the course of the call, you may refer to EBITDA, adjusted EBITDA, adjusted EBITDA margins, free cash flow, net debt, net leverage ratio, liquidity, returns on net capital employed, or other non-GAAP financial measures. Please refer to yesterday's press release or to our public website for reconciliations of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not substitutes for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In addition to our press release announcement, we encourage you to refer to our 10-K that we filed yesterday. I'll now turn it over to Greg.
Brady Murphy: Thank you, Julian. Good morning, everyone, and welcome to TETRA's fourth quarter and full year 2024 earnings call. I'll summarize some highlights from our fourth quarter and full year results, discuss the current outlook, and provide an update on our strategic initiatives before turning the call over to Elijio to discuss more details on the fourth quarter and some views on 2025. Our fourth quarter results were overall in line with our expectations as strong offshore and industrial chemicals performance mostly offset a weaker-than-expected year-end slowdown for our U.S. land operations. Adjusted EBITDA margins of 17% improved from 16.6% in the third quarter and from 15.8% in the fourth quarter of 2023, despite lower revenue quarter on quarter and year on year. Contributing to our strong offshore performance in the fourth quarter, we executed thirteen deepwater completion jobs compared to eleven in the third quarter, while our industrial chemicals business achieved a record revenue and adjusted EBITDA for the fourth quarter. Our Water and Flowback segment achieved EBITDA margins of 13.8% and was impacted by a more severe than normal year-end completion slowdown. And although both rig count and frac fleet count are down more than double digits from last year, the volume of produced water continues to increase. In the fourth quarter, we achieved a record volume of 89 million barrels of treated and recycled produced water for frac reuse. Our primary focus and capital allocation for this segment will continue to be on solutions for produced water treatment and recycle, including desalination for beneficial reuse. For the full year, our Completion Fluids and Products segment revenue was down 1% but grew EBITDA by 2% year over year, driven by a strong performance in our industrial chemicals business. Total year completion fluids and products revenue of $311 million was the second highest since 2015 when we completed two large CS Neptune projects in the Gulf of America. Our industrial chemicals business had an excellent year achieving its highest revenue and adjusted EBITDA in our company's history, with 2024 revenue growth over 2023 of over 9%. Our industrial chemicals business represents 22% of TETRA's total revenue. This year and into the future, we expect to ramp up meaningful volumes of zinc bromide-based electrolyte and so we expect this percentage to continue to increase. Our diversification of calcium chloride markets continues to increase, including grades for food, agriculture, paper, industrial applications, the more seasonal demand for deicing and dust binding plus a growing demand for technology, including chip manufacturing. The superior purity level of our zinc bromide allows us to participate in the long-duration energy storage electrolyte market as evidenced by our first batch of PureFlow-based electrolyte shipments to Eos Energy Enterprises in the fourth quarter. Our leading market positions in Northern Europe and the US give us stable markets in which to operate, with predictable revenue and earnings and strong free cash flow, allowing us to reinvest in our new high-growth business opportunities. Looking back on 2024, we made some strategic investments that are paying off as we head into 2025. Capital investments and expansion of our capacity in Brazil are supporting a large deepwater completion fluids award, which starts in the second quarter of 2025. Investments in the Gulf of America have led to increased deepwater activity for us, including a three-well TETRA CS Neptune project currently ongoing. We just completed the first of the three wells and will begin the second well shortly. Inventory ramp-up for both of these projects contributed to a year-on-year working capital increase of $21 million, but the combined CapEx and working capital investments are expected to be earned back more than dollar for dollar in the first six months of 2025. Turning to our Water and Flowback Services segment, 2024 proved to be a challenging year. Operator consolidation as well as low natural gas prices contributed to a decline in the rig count and frac fleets by 17% and 30%, respectively, over the past two years. Our water and flowback focus remains in two areas. First is deploying relatively low dollar capital to automate our existing fleet of water management and flowback assets including Sandstorm, that lower labor costs and increased margins and two, focus on recycling treatment and desalination of produced water for beneficial reuse. We believe that we are industry leaders in both of these areas, which we expect over time will improve margins and give us a significant path to grow through desalination. Looking ahead to 2025 for water and flowback, expect revenue to remain flattish while increasing margins by enhancing operational efficiencies including automation enabling us to maximize capital returns and generate substantial cash flow. Earlier this month, I had the pleasure of being a keynote speaker at the well-attended 35th Annual Produced Water Society Conference in Houston. The main topic of focus for the conference is the industry challenge dealing with over 23 million barrels per day of produced water in the Permian Basin. It is clear that downhole pore pressure and water disposal wells are filling up. Disposal wall pressures are increasing, potentially more regulatory restrictions are coming. The best long-term solution for this problem is reducing the volumes of water for disposal and desalinating the water for beneficial reuse, including industrial, agriculture, and irrigation purposes. I discussed TETRA's commercial offering, TETRA OASIS Total Desalination Solution or TDS, as a comprehensive end-to-end desalination solution for beneficial reuse and emphasized the added benefit of recovering essential minerals from produced water as part of the process. Our recent announcement of TETRA OASIS TDS has been very well received and our blue-chip customer engagement continues to grow broader and deeper. Although we expect favorable gas prices will contribute to pockets of increased activity in 2025, we will limit our capital investment to automating our current business assets and expect to deploy multiple pilot projects for desalination. In total, we're expecting a very strong start to the year in 2025. The combination of a strong Gulf of Mexico market, three-well Neptune project, the start of the Brazil Deepwater work, increased Eos Electrolyte deliveries, and our seasonal second-quarter European peak has us projecting a significant year-over-year increase in both revenue and EBITDA in the first half of 2025, as detailed in our Q4 press release. We project net income before taxes between $19 million and $34 million and adjusted EBITDA between $55 million and $65 million for the first half of 2025, levels approaching or exceeding a ten-year record high for the company. Moving on to our strategic initiatives. Regarding our bromine Arkansas project, we have secured power for the project. We've completed the plus or minus ten percent front-end engineering design and prepared the plant site for the next phase of construction. As communicated previously, we're in discussions with multiple elemental bromine suppliers for a bridging supply agreement. The purpose of the bridging supply would give us more flexibility on timing for capital spend, give us more opportunity to accumulate cash from operations, and allow us to execute a staged approach. Target initial bromine production of approximately two-thirds of the published definitive feasibility study volumes. To ensure that we find the most capital-efficient alternative, we're also exploring scenarios where we could dovetail our upstream operations and investments with our lithium neighbors, which could significantly reduce our overall project capital investment. We will continue to communicate our progress and actions with this critical long-term low-cost bromine supply investment as we achieve various milestones. For our lithium opportunity and project, we and our partners have completed the plus or minus ten percent FEED studies as well. We believe the lithium OPEX from the plant could be more competitive than current hard rock mining operations. But as owners of 65% of lithium resources in our evergreen unit, we're waiting for the royalty decision and a firm review of future lithium prices before publishing financial studies. Longer term, we anticipate a rebound in lithium prices that will support our increased investment in supply, particularly from the US. Our team along with our evergreen unit partners remain focused on completing all necessary engineering studies to fully define the economics of this opportunity. In the meantime, we're prioritizing strategic initiatives that can immediately impact our near-term results. These initiatives include deploying CS Neptune in the Gulf of America, shipping TetraPure Flow Energy Enterprises, and further advancing our water desalination commercial pilot units initiatives that we expect to evolve into longer-term contracts for commercial desalination plants. Now I'll turn it over to Elijio to provide some additional commentary on the successful financing on our financial results, then we'll open it up for questions.
Elijio Serrano: Valuation allowance for our deferred taxes. We've mentioned in the past that we have tax loss carry forwards that can offset taxable income in the United States. We had previously established a reserve against that asset given our prior uncertainty in the timing of using those NOLs, or net operating loss carry forwards. Our taxable income in the United States over the past three years has been almost $100 million following the recovery from COVID and strong performance of our US business. Without the NOL, we would have likely paid over $20 million in US cash income taxes in the past three years. Given the three-year cumulative profits, we performed an analysis and reviewed our projections with our auditors and came to the conclusion that there's a high likelihood that they will be using our NOLs in the coming years. Therefore, we eliminated the valuation allowance we have previously established. Our NOLs can offset approximately $345 million of US taxable income in the coming years and save us approximately $97.5 million of cash taxes in the United States. This assessment and adjustment reflect our confidence in the performance of our US business driven by the strong activity in the Gulf of Mexico, strong US calcium chloride business, profitability results from our US oil and gas business, and the growing long-duration battery electrolyte business. On a go-forward basis, when modeling our projections, one should assume a tax rate of between 31% to 33% in computing TETRA net income and earnings per share. However, our cash taxes will only be around $6 to $7 million per year for taxes we pay overseas. We'll provide periodic updates on how rapidly we are using our deferred tax assets to offset the $345 million of NOLs. The more profitable we become in the United States, the higher the fall-through is to cash flow from utilizing our NOL. For example, we mentioned that we sold our investment in Kodiak in the first quarter for approximately $19 million. The tax basis for our shares in Kodiak was quite low. Therefore, we realized the entire $19 million in cash proceeds by partially using our NOL without any taxes due to that capital gain. On cash flow, we made significant investments in fixed assets and inventory for our offshore business. Those CapEx and working capital investments were higher than what we would normally have made. That contributed to a slightly negative base business free cash flow in 2024. Those investments were to prepare us for the CS Neptune three-well project and the Brazil multi-well multi-year project that are expected to contribute to strong free cash flow in the first half of 2025. For 2025, we expect interest expense of approximately $20 million, capital expenditures for the base business of between $30 and $35 million, which are below the amounts of 2024, and as I mentioned, cash taxes of approximately $6 to $7 million. Depending on your assumptions for a total year 2025 EBITDA, we have the opportunity to generate over $50 million of free cash flow in 2025 from the base business. We provided guidance for the first half of 2025 as we believe that when others in the industry are looking at weaker first half 2025 results versus a second half of 2024, we are showing a strong sequential improvement in our adjusted EBITDA. Our first half projections are underpinned by the three-well Neptune project, the start of the Brazil deepwater project, our seasonally strong European calcium chloride business, and the continued improvement in the other businesses. On the Neptune project, the first well has been completed and will soon ship fluids to the second well. The timing of the projects between the first quarter and the second quarter is uncertain, that's why we gave first half of the year guidance instead of guidance individually for the first and second quarters. With respect to Arkansas, we reduced our investments in Arkansas in the fourth quarter to less than $1 million. From the free cash flow being generated from the base business, then we will make a determination of how much of that we will spend in Arkansas in 2025. As Brady mentioned, we're looking for the most capital-light solution to source additional cost-effective bromine volumes to meet our deepwater demands and to meet the ramp-up in electrolytes required by Eos. If we source adequate volumes in the immediate years, we will delay or defer building a bromine plant in Arkansas or we'll space it out over multiple years, allowing us to fund it from the base business free cash flow without taking on any debt. Our objective is to keep our leverage ratio below two times and invest with base business free cash flow. As we made progress in our bromine bridging agreements, we'll communicate what firm arrangements have been agreed upon. In the meantime, we'll continue to negotiate for the best alternatives. At the end of December, cash on hand was $37 million, and total liquidity as of yesterday was almost $207 million. We sold our Kodiak shares at a near-record high for Kodiak share price and above yesterday's closing price. This is the second time that we've been able to appropriately time the sale of shares that we sell in publicly traded companies. I'll turn this back over to Brady for closing comments before we open it up for questions.
Brady Murphy: Thank you, Leo. As you can see, we're very excited about what we have in front of us. As we enter 2025, we're pleased with the decisions that we've made for the business in the past few years. Sometimes take patience, but are paying off in a big way. Expanding our deepwater presence and market share in key markets, staying diligent on the Neptune pipeline of projects that slowed to a crawl during COVID but are now moving forward. Expanding our core aqueous chemistry in the long-duration energy storage electrolyte and focusing on produced water treatment and recycling. All of these are paying off in the first half of 2025 and beyond. Still to come is the benefit of expanding our water recycling offering for desalinating produced water, positioning ourselves for a high volume, low-cost supply of bromine to meet our growing opportunities, and developing partnerships for future lithium production. With that, we'll open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. To ask a question, please press star one on your touch-tone phone. If you're using a speakerphone, please pick up your handset before pressing any key. To withdraw your question, please press star two. Once again, star and one if you wish to ask a question. At this time, we'll pause momentarily to assemble our roster. And we will now take the first question. And this comes from the line of Kurt Hallead from Benchmark Company. Please go ahead. Your line is now open.
Kurt Hallead: Right. Hey. Hey. Good morning, guys. Thanks for that summary. Hey, Brady. Question for you. Right? There's been a lot of probably fit and starts and maybe some, you know, frustrations, but respect to, you know, timing on some of these emerging growth opportunities that you guys have. Over the past year or so. Right? As you kind of, you know, maybe rub off the crystal ball a little bit here for 2025 and I just had, you know, follow-on discussions with a number of different potential customers whether it's water, diesel, or such going on with electrolytes. How do you how do you kind of think about the evolution of those businesses for this year? And which one do you think you know, without giving specific numbers around it, but which one do you think has the opportunity to have some element of a meaningful contribution to 2025?
Brady Murphy: Mhmm. Yeah. So thanks, Kurt. So, I mean, clearly, in the first half of 2025, we're seeing some of the benefits of these longer-term projects that we've been pursuing. I mean, obviously, CS Neptune is something we've done in the past, but we've been talking about the pipeline of projects that we've been tracking and now that's coming into focus and fruition for us. You know, Eos, I don't want to speak for them, but, you know, if you look at their I think, their investor presentation in January, they're projecting to, you know, meaningfully ramp up their volumes of their batteries and, you know, obviously, that's material for us as we go through 2025. On the water desal, you know, we know this is a long-term venture. We are very encouraged with the blue-chip customers that we are in discussions with. As we've said before, we will be operating several pilots in 2025. We think that where the industry's at right now is that we will be one of several providers operating pilot operations in 2025. But we really don't expect, you know, commercial scale type of desalination for beneficial reuse projects until we get into 2026. That's our current expectation. But, again, couldn't be happier with the quality of the blue-chip customers we're discussing since we've last talked around our seven NDAs with major operators in the Permian, we've extended that to a new major midstream player as they are clearly looking at this as part of their future offering. So that's kind of the cadence, Kurt, that I would respond to. You know, the longer term, we're still very much intent on getting our bromine plant constructed. As Leo said, you know, we are looking at some alternatives to make sure we can fund that through our own cash flow. That may mean deferring a little bit. That may mean getting some additional supply arrangements in place that will allow us to give us a few more years to accumulate cash from operations. But once that plan is in operation, it is gonna be a tremendous benefit, not just for the volumes of bromine, but the cost of the bromine, low cost of the bromine that we will be able to access and then, of course, lithium following that. So, you know, that's kind of the cadence, Kurt. We're pleased where we're at. And, you know, we see a bright future ahead.
Kurt Hallead: Great. Appreciate that color, Brady. Now for Elijio, you know, if you kinda take the numbers you provided in terms of, you know, free cash flow and back that up into, you know, EBITDA that we get you to at least $100 million of EBITDA on a full-year basis. Right? You're looking at something around $60 million in the first half. So that would suggest at least, right, $40 million in the back half. What are the impairances, you know, as you look into the second half of the year, Leo, that could I mean, you guys do it differently. You have a high degree of conviction in that in at least $40 million in the back half, and what could be the variances that could push you higher than that?
Elijio Serrano: Yeah. We don't traditionally provide guidance as you know, Kurt, unless we're moving in a direction different from the rest of the industry. In the first half, we clearly have visibility with the best backlog that we've had in the company's history on the offshore. Right. We're very comfortable with what's occurring in the first half of the year projects. I think it's foolish to believe that anyone in the industry has full visibility to what's gonna happen in the second half of the year. But with the initiatives that we have with the deepwater projects, including the Brazil multi-year program, the ramp-up of electrolyte sales that we have a high degree of confidence is occurring, plus all the initiatives that we've taken, we think that we'll continue to perform better than the industry. And Brady mentioned that for the full year, we expect high single digits, low double digits top-line growth. And we think our margins will continue to hold in the range that we're at, if not slightly above that.
Kurt Hallead: Appreciate that. Thank you, guys.
Brady Murphy: Thanks, Kurt.
Elijio Serrano: John, you wanna bring on the next question?
Operator: Yes, sir. Thank you. I will now take the next question. And this comes from the line of Tim Moore from Clear Street. Please go ahead.
Tim Moore: Oh, thanks so much. You know, I really like the branding of your desalination Oasis solution. I've done a lot of analysis on that. You know, I'm just wondering, you know, Brady mentioned I think he mentioned maybe seven NDAs and maybe that midstream potential customer. I'm just wondering what is your capacity for pilot count this year? I mean, can you do four or five pilots? And is there any constraints, you know, on the side from KAMX or HiRx, there's their side.
Brady Murphy: Right. Yeah. Good morning, Tim. Yeah. So the lead time for the pilots really is predominantly based on the HiRec membrane system or the CAMX membrane systems. We obviously are in very close communication with both of them. And as I said, we are actually confident enough where we are right now to be placing orders for additional pilot units for the year in 2025. If we had to start from scratch and get additional, you know, pilot, say, in midyear, that might be a stretch to get them into the year in 2025, but we've got some room between now and then to add to that capacity.
Tim Moore: That's helpful commentary, Brady. And I was just going back to your Brazil, you know, you have a deepwater multiyear program. I think investors clearly understand CS Neptune pretty well, but you know, as you look out to next year and the potential for that program beyond this year, I mean, do you think the revenue contribution next year could be as large as this year and, you know, probably larger than the North Sea usually.
Brady Murphy: Yeah. The Brazil market is typically not a heavyweight brine market, but the contract that we have is in fact, we're really the only heavy brine completion fluid provider in the Brazil market. So we're very well positioned with how we've positioned ourselves and the investments we've made there. So yeah, that's a two-year contract. There's a number of wells that are due to be executed this year and next. So we think that'll be pretty evenly spaced out over the next two years. But we're really encouraged by what we see as a trend for potentially heavier brine completion projects in Brazil, and we'll see how they develop.
Tim Moore: That's great. And my only other question is just switching gears to the potential bromine development project. You had commentary about maybe getting close to finalizing the supply agreements just kinda curious, you know, without putting words in your mouth. How long is maybe the lead time or many months lead time between, you know, if the board does approve the bromine project and you go forward with it versus kind of the plant start-up construction, you know, is that three or four or five months? Just kinda curious.
Brady Murphy: Yeah. No. The lead time to get the full bromine project in place is longer than that, Tim. But we've done quite a bit of work already. We've completed the engineering. As you know, we've secured the plant site. We've prepared the plant site for the next phase of construction. We've sourced the power. I mean, so we've made considerable progress advancing the bromine project. But at this point in time, we're not at a point where we're willing to definitively say when the project will be FID by our board. We will we're looking at some options in terms of timing. As I said previously, in terms of we'd like to fund it through our own free cash flow, while we're monitoring the demand needs that we have and at this point in time, we're balancing that. And we'll keep you posted as we get to a final investment decision.
Tim Moore: Oh, great, Brady. Well, thanks for that color. That's it for my question.
Operator: Thank you, Tim. Thank you. And the next question comes from the line of Bobby Brooks from Northland Capital Markets. Please go ahead.
Bobby Brooks: Hey. Good morning, guys. Thank you for taking my question. So I just wanted to start with the beneficial reuse project Oasis. I mean, this is literally turning a waste stream into a scarce resource in a region that is desperate for more water. So I have to imagine that the demand for the recycled water that can pass all types of wet testing is very high. Especially when I think about conversations with data centers being collocated near wellheads. And along with the fact that data centers have a big demand for water as well. So just taking that all into account, how are discussions with potential customers going? And maybe could you compare that versus what those conversations were like last year? Is it, you know, the announcement in mid-December of the commercial launch of Oasis, has that, you know, created any more traction or different type of conversation with customers? And do you all but I'll stop there and have a follow-up.
Brady Murphy: Yeah. No. You know, sure, Bobby. I mean, the momentum is clearly building for this solution. The more discussions that we have with operators. But remember, this is also a fairly complex problem to solve and solution to put in place just because of the regulatory issues that come into play with this as well. You mentioned data centers and uses of the water. There's a logistics challenge that the operators have to work with as well because, you know, once they or once we desalinate the water for beneficial reuse, you know, there's gotta be a logistics solution to get that beneficial water where it needs to be used. And so that's all part of the equation that is being worked on. There's no question in my mind the momentum is building. As I mentioned, I had the opportunity to speak at the produced water society conference and everyone's on the same page that this is, you know, one of the highest priorities for the industry. And now it's just a question of working through the details, getting everybody comfortable with the quality of the product, the commercials of the projects, the regulatory framework, and, you know, the end-use destinations for this. When you throw it all together, it takes time to work through this, but it's definitely coming.
Bobby Brooks: Got it. And then just a follow-up, you mentioned, you know, expecting a couple of different pilots to kick off this year. I just wanted to confirm. It seems like none of those have one of the none of those have locked in yet. Right? Those are still in discussions, or have you actually locked in any of these pilots?
Brady Murphy: I would say our confidence level is the biggest start in the first half of 2025.
Bobby Brooks: Got it. And then so you had three Neptune job wins in 2024. Know, internally, how many shots on that per se are you guys mapping out on Neptune opportunities in 2025? Does the first half guide bake in any additional wins?
Brady Murphy: Did you say the first half of 2025?
Bobby Brooks: Yeah. Just like that first half guide, is there any is it just are you guys baking in any additional Neptune wins into that and more broadly in okay. And then more broadly okay. So 2025, really, the first half of 2025 that we've guided on really includes the three-well project that we have ongoing right now in the Gulf of America. I mean, we do have as we mentioned part of a few times a pipeline of projects that we track or engage with customers. And as those projects move forward, we don't really want to announce, you know, any of those projects until we're actually given the award and we have the, you know, kind of a definitive drill time for those wells. But you know, the pipeline is clearly more visible and clear to us than it's been in a very long time certainly since COVID.
Bobby Brooks: Okay. And then just, like, talking about that pipeline, I can appreciate you guys not wanting to give any color on it before, you know, counting your chickens before they hatch. But just, like, high level, is the if you had let's say, if you had five opportunities in 2024 for Neptune jobs, is the opportunities for Neptune jobs in 2025 is that, like, double this year? Is it or is it kind of the same pace? Just trying to get a sense of the size of that pipeline.
Brady Murphy: Yeah. I wouldn't say the timing of these projects are gonna double year on year, but they will definitely our expectation is they will increase year on year.
Bobby Brooks: Got it. I appreciate it. Thank you, guys. Congrats on the great 2024 results, and I'll return to the queue.
Brady Murphy: Thank you, Bobby.
Operator: Thank you. And the next question comes from the line of Stephen Gengaro. Your line is now open. Please go ahead.
Stephen Gengaro: Thanks. Good morning, everybody.
Brady Murphy: Good morning, Steven.
Stephen Gengaro: So a couple from me. I think maybe the first just to follow on a previous question. So over the last, I don't know, five, six, seven years, the CS Neptune work has we've sort of thought about it as sort of an episodic. And, obviously, a big plus when it happened, but not kind of part of our model because they were kind of few and far between. And that seems to be changing. So maybe in another way to ask the prior questions, when we think about 2025, 2026, 2027, like, at a high level, given the activity level, deep work, can we think about that business and that product line being kind of a more consistent contributor either quarterly or half-year basis? Like, how do we think about it at the higher level?
Brady Murphy: Yeah. Yeah. Absolutely. Steven, just remind our followers, the last CS Neptune job in the Gulf of America that we executed was the fourth quarter of 2019 before the current jobs that we have ongoing. And, of course, right after the fourth quarter of 2019 COVID hit, and as I said, when COVID hit in 2020 and 2021, we essentially lost two years of that pipeline coming to pretty much a halt. Started we saw it started moving again in 2022 and 2023. And so now, as that pipeline moves forward, and, you know, more Gulf of America wells start going into the lower tertiary, which are the high pressure, high temperature, you know, sweet spot for CS Neptune. We actually absolutely believe that the future of CS Neptune projects will increase and we're also getting some attraction now in deepwater markets outside of the Gulf of Mexico. We've been successful in the UK and Norway to some degree, but those have typically been smaller jobs. But now we are getting visibility of larger scale projects outside of the Gulf of Mexico. And so, yes, I would fully expect our CS Neptune projects and work to be certainly at a faster cadence than where we have been.
Stephen Gengaro: Okay. Good. No. Thank you. That's good color. The other two quick questions were one, when we think about the sort of the history of the company and you've done a good job sort of simplifying the structure to two really core businesses. And I know in the past, you know, there's obviously the floors business, at least in our view, is sort of the gem. Right? And I know the desalination efforts out there, but when you think about the structure of the company, like, two or three years out, do you think there's any kind of material changes to fund operations in bromine, etcetera? Do you think we're kinda looking at the structure of the company, you know, two years out will be similar to where we are now?
Brady Murphy: You say the structure of the company, I think if I look at our business, further years out, Steven, the way we think about it, our industrial chemicals business certainly including our electrolyte, you know, that piece of our business is gonna continue to be a larger and larger piece of our business, particularly when we bring on the additional bromine from the plant and future lithium. So when you throw all of those together, we will have a material portion of our business that will be, you know, a chemicals industrial products type of business. I think the deepwater market has got a lot of legs for quite a few years, so our energy services completion fluids business will still be a very core part of our business. I think our water and flowback business will morph into a desalination business. And so I think our traditional, you know, water transfer, some of those types of services that we offer, we may morph into something differently than what we are today, but the desal will clearly be a part of that. So those are kind of the three future segments down the road that we see in the company stable.
Stephen Gengaro: Great. Now that's great color. And then just the final one, when we think about shipments to Eos, and obviously Eos seems to be on the test of very robust growth. Can you give us a sense, like, when you're thinking about so, like, what's the time frame that you recognize and ship revenue versus when they're able to ship?
Elijio Serrano: So, Steven, I'll take that one. We ship NIP or PureFlow Electrolyte from West Memphis to Turtle Creek, which is about a six to eight-hour drive away. We book revenue when the product leaves our facility and sell it to Eos at that point. I think one of the nice arrangements that we have with Eos is that we can produce product real-time for them, just-in-time production. And they're likely buying at or within a few weeks of when they put it into the battery. They're giving us a rolling forecast. They're giving us rolling visibility. So I would suggest that we've got good insight in terms of how they're doing and how much they need and when. So within a month after we ship it, we think our fluid goes into batteries.
Stephen Gengaro: Okay. Great. That's good detail. Thanks, Leo, and thanks, Brady.
Brady Murphy: Sure. Thanks, Steven.
Elijio Serrano: Thank you.
Operator: No further questions at this time. I'll hand the call back over to Brady Murphy. Please go ahead, sir.
Brady Murphy: Thank you very much for your interest. As you can see, we're very excited about our 2025 future and beyond. So thank you for joining us this morning for our call.
Operator: Thank you. This concludes our conference for today. Thank you all for participating. You may now disconnect.